Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2014 Hyster-Yale Materials Handling Incorporated Earnings Conference Call. My name is Catherina and I'll be your coordinator for today. At this time, all participants are in listen-only mode. Later we will facilitate a question-and-answer session. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I'll now like to turn the presentation over to your host for today's call, Ms. Christina Kmetko. Please proceed.
Christina Kmetko: Thank you. Good morning everyone and welcome to our 2014 second quarter earnings call. I am Christina Kmetko and I am responsible for Investor Relations at Hyster-Yale. Joining me on today's call are Al Rankin, Chairman, President and Chief Executive Officer of Hyster-Yale Materials Handling; Michael Brogan, Vice Chairman and Chief Executive Officer of NACCO Materials Handling Group; Colin Wilson, President and Chief Operating Financial Officer of NACCO Materials Handling Group. And Ken Schilling, our Vice President and Chief Financial Officer. Yesterday, we published our second quarter 2014 results and filed our second quarter 10-Q for the three and six months ended June 30, 2014. Copies of our earnings release and 10-Q are available on our website www.hyster-yale.com. For anyone who is not able to listen to today's entire call, an archived version of this webcast will be on our website later this afternoon and available for approximately 12 months. Before we begin, I would like to remind participants that this conference call may contain certain forward-looking statements. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements made here today in either our prepared remarks or during the following question-and-answer session. We disclaim any obligation to update this forward-looking statement which may not be updated until our next quarterly earnings conference call if at all. Additional information regarding these risks and uncertainties was set forth in our earnings release and in our 10-Q. Also certain amounts discussed during this call are considered non-GAAP. A non-GAAP reconciliation of these amounts is included in our 2014 second quarter earnings release available on our website. Finally, we've made some changes to our presentation format. We are not going to provide as much details from our earnings release as we have in the past. Instead, I'll be providing a brief overview of our quarterly results and business outlook and then I'll turn the call over to Al Rankin in the panel for your questions. Now let's discuss the quarterly results. The 2014 second quarter revenues increased to $684.7 million from $659.6 million in 2013. Net income was $32.9 million or $1.95 per diluted share for the second quarter of 2014 compared with $36.2 million or $2.16 per diluted share for the second quarter of 2013. Also operating profit was $47.7 million for the second quarter of 2014 compared with $35.9 million in 2013. We have two large items affecting our second quarter comparatives that should we discuss first. On a positive note, we completed the sale of our current Brazil land and facility earlier than anticipated. And during the second quarter we've recognized a gain of $17.7 million which is $11.5 million after tax or $0.68 per share on that sale. The second large comparative item relates to a tax benefit of $12.8 million or $0.76 per share which we realized in the second quarter of last year from the release of certain income tax valuation allowances. We believe our five strategic initiatives are continuing to gain traction as evidence by an increased in units and parts volume and favorable material cost in the second quarter of 2014 which together improved gross profit. In addition, one of our strategic initiatives is focused on increasing sales of warehouse truck. Greater sales of warehouse trucks contributed a large part to the current quarter volume increase. However, certain of these warehouse trucks are sold at lower margin to the resulting shift in sales mix in our geographic region to units of lower average profit margins was expected as were the additional cost incurred during the second quarter of 2014 to support the company's five strategic initiative. Both of which partially offset the benefit of the higher sales volume. Nevertheless, we did not anticipate significantly higher U.S. healthcare cost which affected both our gross profit and selling and general administrative expenses unfavorably during the second quarter. Finally, increased warranty expenses at favorable adjustments in the second quarter of 2013 did not reoccur in 2014, also contributed to the reduction in gross profit and operating profit. Lower incentive compensation estimate compared with the 2013 second quarter did partially offset the decline in operating profit. Now turning to outlook. We expect the global market forklift trucks to grow moderately during the remainder of 2014. Generally this growth is expected to be concentrated in developed western market and China is expected to be partially offset by weakening in certain developing market. As a result of this anticipated global market growth and expected increases in our market share, we anticipate an overall increase in our unit shipments and parts volume and as a result an increase in sales over the remainder of 2014 compared with 2013. Specifically, we expect the majority of this increase to come from North America and Western Europe with smaller increases in Asia-Pacific unit shipments. We also expect weakening markets in Latin America including Brazil as well as Eastern Europe to only partially offset growth in the significant western developed market. A significant increase in operating profit is expected during the second half of 2014 in excess of the rate of the sales increase with the majority of the increase occurring during the fourth quarter. The favorable effect of the anticipated increase unit volume increased parts volume and product enhancement are all expected to contribute to this improvement. In addition, because we do not anticipate that the market price per stock will increase at the rate experienced in 2013, we expect lower estimated equity incentive compensation to contribute to the improved operating profit in the second half of the year. This favorable items are expected to be partially offset by the full year impact of marketing and employee cost associated with our investments in the strategic initiative that were made over the course of 2013 and in the first half of 2014. And by unfavorable foreign currency movement in the Americas and Asia-Pacific as well as anticipated higher employee benefit costs primarily healthcare expenses. Overall, we expect net income in the second half of 2014 to improve compared with the same period in the prior year. The effective improved operating profit as well as lower interest expense due to lower debt outstanding and lower interest rates under revolving credit agreement is expected to be partially offset by higher effective income tax rate. Looking at our various segments, we expect the operating profit results in the Americas segment which include North America, Latin America and Brazil market to improve significantly in the second half of 2014, with the anticipated increases in unit and parts margins partially offset by continued unfavorable foreign currency movement from an expected strong EURO and slightly increases in material costs. Operating profit in the Europe segment which includes the Middle East and Africa market is also expected to increase moderately in the second half of 2014 compared with the prior year due to the anticipated benefits of the current strength of the EURO, a favorable effective improve pricing and slightly lower material cost. These improvements are expected to be partially offset by the full year effective marketing and employee costs which gradually increase throughout 2013. Asia -Pacific results for the second half of 2014 are expected to be slightly higher in the second half of 2013 resulting from the favorable effective improved pricing and an expected increase in unit volume partially offset by the weakness in the Australian Dollar and weaker industry demand in Australia. Finally, we expect cash flow before financing activities for the 2014 full year to decrease from last year primarily due to an increase in capital expenditures, largely driven by the construction of a new plant in Brazil. These capital expenditures will be partially offset by the final cash payment from the sale of current Brazilian facility which we received during the second quarter of 2014. That concludes our prepared remarks; I'll now open up the call for your questions.
Operator: (Operator Instructions)
Christina Kmetko: While we are waiting for questions, let me provide my context information for any additional questions you may have at the conclusion of today's call. My number is 440-229-5168. Catherina, are there any questions? 
Operator: Your first question comes from the line of Mig Dobre representing Robert Baird. Please proceed.
Mig Dobre - Robert W. Baird: Good morning, Christie, I have to apologize in advance. I missed the portion of your remarks. So I don't know if you covered this already. But I guess my first question -- I am looking at the Americas segment and maybe you can help me understand the margins swing in there little better. If we are excluding the gain on the facility sale, operating margin declined about 180 basis points on year-over-year basis to 4.6%. This is a pretty big move, can we sort of pass out some of the impact from mix versus currency versus some other items that were in there?
Al Rankin : Let me -- this Al Rankin. Let me give some perspective on that. It's a complicated story actually I think. And I'll speak just to the Americas although obviously these comments that are reflect the Americas have a big impact on the numbers in total. If you look at the revenues, we went up a modest amount in revenues in the Americas $7 million or $8 million something like that. And if you look at the added margin they came from that volume and include the material costs and freight bearences what we call what happen to our adjusted standard margin, our regular profitability on the parts and units business that we do. That actually went up quite nicely. And so the issues occurred in other areas than that, there was some very significant manufacturing variance as compared to the previous year. And the biggest single driver there was an usually high level of healthcare --of health costs that came through as effectively as a practical matter were self insured in that area and there were debts and other claims that occurred that generated some unusually high charges. We certainly hope that those are more in the nature of one time charges. And we don't have any reason to think that they will be particularly variable on a regular basis. In addition, we had currency variances of significance and we had a warning tick up I believe in the previous year that of course wasn't repeated in this year. And so you put all that together and those manufacturing variances and the changes in other costs of sales with currency and warranty being big portions of that, the result are that the gross profits actually declined despite the fact the profitability on the business that we did was better. So the other thing that happens in other cost of sales which is really very important to understand and as a big driver as this, the benefit we received from the material cost going down which in the cost of the goods that we sold hurts us in accounting because the accounting rules required you write off during the period effectively the amount of historical cost that is above the latest purchase price. And so in a way the better you do on material cost, the more exposure you have to inventory variations and inventory adjustments that are driven by that. I've already mentioned the currency so and those are factors that are all coming to bear here that make it kind of odd quarter. And in fact SG&A in the Americas was positive compared to the previous year and it's positive for the company overall. So the entire change is in gross profit which is driving the negative and some -- with some currency impact in the SG&A as well that is a negative. So in total that's kind of the story. It's a complicated one but it has a number of what would I call one time component. 
Mig Dobre - Robert W. Baird: Well, I appreciate that, thank you. I guess unfortunately I am still unclear as to how big these impacts were that were one time in nature. And you mentioned some benefits from warranty in a prior year that might have boosted margin a bit to get 6.4 and number one time items this time and I am trying to figure out what is the normalized level of you would for operating margin in this business at current volume excluding one time items. And I am not -- 
Al Rankin : No. I am not going to really get into to try to answer the question that way. I would tell you that some of these things will reverse in the third quarter because they particularly in the material cost and its items that I mentioned, some of those kinds of things will not reoccur. The currency -- I mean I can't tell you that these are all non-recurring, I can tell you what happen in the sense they are not regular events in the business. Currency went against us and gross profit was a significant piece of the decline, the inventory adjustments I had mentioned, the warranty I had mentioned. And the healthcare cost. So I can just tell you that it was -- you put all those together and you get a decline for the company and gross profit of $4.9 million and I think in the best of all worlds we wouldn't have declined. 
Mig Dobre - Robert W. Baird: All right. Maybe kind of a big picture question. One of the things that sort of stuck out from your press release and common--
Al Rankin : You have to understand one other thing is that I really think you should look particular at our comments about the second half because we expect the second half to be significantly stronger than the first half especially the fourth quarter. Michael or Colin, do you want to add at this point.
Colin Wilson : No. I think you said that's -- that was the comments we expect profit to improve, to step increase in unit and part margins, partially offset by continued unfavorable foreign currency movement from an unexpected strong euro and slight increase in material costs. 
Mig Dobre - Robert W. Baird: Yes. And I appreciate that and sort of sticking with this. In the guidance, in the press release, you mentioned anticipated increase in unit volumes in the second half, you mentioned the strategic initiatives. I guess I am looking at unit volume booking that were up about 2% in the first quarter or down 5% in the second quarter and I'm wondering at this point what gives you confidence in your outlook for increased volumes in a back half for the year. 
Al Rankin : Well, we have a history of having stronger bookings in the second half of the year. It's very difficult to know when the booking will occur. Some of it is industry related but we had the same pattern in a way last year. So I would ask Colin to comment on that. 
Colin Wilson: Thank you. I'll start our national account business is traditionally stronger than the second half of the year. Third quarter of 2014 is really result of the bookings we took during the second quarter. So the variable factor from our perspective is what happens is booking sufficiently in the third quarter to fill up the schedules in the fourth quarter. And based upon on our intelligence of what's happening in the market, we believe that that will occur. 
Ken Schilling : I think we will also see benefits from new distribution that's coming online particularly in Europe. We have been re-structuring some of our distribution on the schedule basis. And I think would see some kind of it later this year and of course into next year. 
Mig Dobre - Robert W. Baird: That's great. I appreciate that. Can we talk a little bit about replacement demand in North America in particular? What do you think we currently are in terms of that? And maybe a comment on Europe as well if you can. 
Al Rankin: Colin.
Colin Wilson : I think we saw a rather pent-up demand coming after great recession we went through by two years where levels or demand were very low. We are still seeing some large catch-up by certain major account. So people who want to preserve cash coming after great recession, you can only run electrically for so long particularly if you rely on those lift trucks for the productivity of your operation so we are continuing to see some catch-up buys, I think we will probably getting to the tail end of the -- particularly high magnitude catch-up buys but than companies who bought trucks in 2010 coming out of great recession, lot of those companies will be replacing those trucks to get in 2015, what popular lease term is five years. A lot of our big customers lease truck under operate and lease contract. So I think as we move into 2015 we'll see some of the increased demand that we saw coming out of great recession repeat itself and as well as continuing to see some of the catch- up buys. 
Al Rankin : Let me just add a couple of other bits of color if I could because obviously replacement demand isn't the whole story. There is new demand as well. So in North America I think we are seeing marginal amount of strengthening compared to what we anticipated when we put our plans together last fall. In Latin America, it's probably we are down some compared to what we had anticipated and that's particularly true in Brazil. The market is softer than we anticipated and softer than it was in 2013. And as you know we have a very substantial leading position in the Brazilian market. And a number of other countries, the developing countries around the world are weakened; Brazil certainly falls in that category. The market in Western Europe has strengthened over our expectations and when we put our plans together and over as well over last year. Eastern Europe is probably down a little bit. That shouldn't surprise anybody. Again, we have a pretty good position in Russia. And it's not in substantial market. And we have been very careful about what we shipping in there, number one. And number two, the market is clearly declined a little bit. And Middle East and Africa is pretty much where we anticipated that it was going to be. And Asia is improving compared to what we had anticipated in our operating plan but the Pacific area is probably little bit weaker that is New Zealand and particularly Australia. And we've seen some strengthening in the Asia-Pacific region excluding China and Japan. And Japan has been strengthened. So it's a very mixed bag out there but generally speaking, if you look at it from total point of view just excluding China, we are looking at a situation which around the world in total is a little bit better than we had anticipated and our operating plan which was pretty much flat with 2013 in total with the ups and downs that I just described. So perhaps that gives you some additional color on the various markets around the world.
Mig Dobre - Robert W. Baird: Sure. I appreciate that. That's very helpful. I guess just two more questions for me. The first one, as I look at the mix in a backlog, the employee deck ASP is up nicely year-over-year, average selling price there. Is that part of the thing that gives you I guess a little more confidence in better margins as you look at the back half for the year? Am I thinking about that correct? 
Al Rankin : Well, it's certainly means that it's somewhat richer volume. And Michael, I would say that the answer to that is yes. 
Michael Brogan : Oh the answer is yes. Volume visibility and I would say that it is -- that evaluation would support the improved mix that we indicated in the earnings release. 
Mig Dobre - Robert W. Baird: And can you pass out exactly what sort of drove this shift in mix maybe as the year progress? I don't if there is anything to highlight. 
Ken Schilling : You do get variation that you can't control, sometimes big deals land in one month or quarter or then they-- it don't recur. So really you got to look at the whole year to get the full picture. 
Al Rankin : And we may have truck that we sold along the water; we can't recognize revenue, five audio trucks coming from our European fronts to the Americas fronts for example.
Michael Brogan : Or go to Australia. 
Colin Wilson: Or going to Australia or going from Americas into Europe. But a lot of it just timing on shipments. 
Al Rankin : Don't forget too there could and I can't give you the answer to it, to be honest with you, it could be also some currency movement in that. So but of course that affects us positively to the extent that Europe, and is more highly valued in terms of our sales revenues. 
Mig Dobre - Robert W. Baird: That's great. And I guess the last question is sort of a big picture question. If we are looking at the electrical trucks and maybe some other ones that are lower margin, they've impacted this quarter in mix and we are looking at your initiatives where you are looking to grow your presence or rather your share in electrical and some of these trucks they are potentially have lower margin, how do we think about the long-term impact of this business on your ability to drive operating margins towards your goal 7% and 9%. 
Al Rankin : Well, I think that on balanced the percentage margins can be very similar in total. And so what really happens is that you can't correlate the number of units per se with the number of dollars of sales but in terms of dollars going up to improve our overall volume in dollar terms. We would expect the margins to go up with it. 
Mig Dobre - Robert W. Baird: Leverage on SG&A
Al Rankin : Yes. And it's the same story we have been telling. The one caution I keep mentioning and I say that I think it's very important is that we view this share gain program that we put in place as a multi year program. And I think we've never felt that we could predict just when the share gain will occur from that. And I'll just give some examples. We've now really completed the -- putting in place the organization structure in the Americas and Europe that we think is essential to accomplishing our long-term objectives. And it adds strength in certain areas that are new initiatives for us in terms of providing assistance to our dealers and helping them be as effective as we think then can be. On the other hand, it takes people a while to become fully effective. It takes a while for these all to play out. And so I really do emphasize, it will see ups and downs but get over time the course we feel confident it's going to be the course that will achieve the volumes that can fill up our plans and get the 7% operating profit normal set to peak of this cycle which we say is 2017 or 2018 or so. And that's we don't see any change in that in terms of our thinking and the maturity of the individual programs that we are putting in place. We got some additional product components that will be coming out what Michael -- the beginning of 2016. And there are some very important initiatives that will be coming out then in the product area. And we got other things that take time to continue to mature and crack the code so on. Michael, you want to add any others. 
Michael Brogan : No. I mean what you have is just getting all the products out there that we have in the pipeline. And we have of course improvement we are making in our products to improve our cost of ownership was one of our key strategic initiative. And we continue to make very good progress in terms of service car fuel economy. And these are core to ongoing needs of customers particular our new customers. 
Al Rankin : We are in the early days of our industry strategies that are coming out of meeting customer needs. And I say that in the two senses. One, ones we have done now have to be fully deployed in the market place. And ones that we haven't done we still have to do. So it's a very orderly, disciplined process that we see over the next few years. We intend to be very determined and methodical about it in term of getting those to come to pass. So I'll just add that as little color.
Operator: Your next question comes from the line of Chris McDowell representing West Lake Securities. Please proceed
Chris McDowell - West Lake Securities : Thank you very much for taking the questions. I appreciate the appetite. So I want to understand a little bit color on that you tackling the Tier 4 or final emission standards. I saw in your release that in third quarter you are planning on releasing a big truck with Tier 4 compliant package. And I want to understand if that was the only one or the first of your product line that some meeting that's back up for next year or if there other ones that are meeting. And then I have got some follow up along that road.
Michael Brogan : Well, the current trends that our victor ranges from 18 tons up to 52 tons will be fully Tier 4 compliant in the second half of this year. Not Tier 4 final and not Tier 4 interim because we already comply with that. And our next one is our 8 to 16 range will be done by June 2015. Our 8 to 52 ton range will be fully Tier 4 final compliant with other, by the way with other enhancing in terms of translation and as I said early on, low cost operation. So they'll all be in place by the middle of next year. We have one of our extend below that be higher volume, 1 to 3 ton and the 4 to 9 ton, 4 to 7 tons are in various stages. But we already compliant in those mostly. We have some update to do but essentially they are behind us. And so the big truck Tier 4 is the major outstanding one while we have some uptakes to do fine tune and to bring up to the final standard on one or two products were essentially and all these work is done. 
Chris McDowell - West Lake Securities : Okay and then can you give me a little bit color on the big truck as far as what size engine and maybe the manufacture service you are able to meet the standards with. 
Michael Brogan : Well, we are working it on the big truck with Cummins We have very strong partnerships with Cummins. They are leading developer of mid control technology and so we work hand in hand with them along with our major supplier transmission [Zed F] to produce what we think are world class leading power trains for our big trucks. 
Chris McDowell - West Lake Securities : Okay and then on the smaller ones. It sounds like all those currently meet the interim standards and you just introduced the 2.5 liter for the 4000 or 7000 ton class. That's not or is that intended to be some of the primary engine choice or you still going to have the kind of three engine choice.
Michael Brogan : We'll have any-- there are certain countries in the world that they don't require the same emission levels as let me call it more highly developed market. So we will have a mixture of engines which meet the requirements of those various markets.
Chris McDowell - West Lake Securities : Is the Tier 4 standard from a customer standpoint, is this a very big catalyst for maybe buying before it goes in final or is it somewhat transparence of the customer and not a big input on their decision to book or after -- 
Michael Brogan : I would say in general that it is a minimum impact. There are some customers, but if you have to have big buys that might have said determine as they want to stay with the Tier 4 but in general people order trucks, their enhancement all the time and they just buy as they require. 
Chris McDowell - West Lake Securities : Okay, great, that makes sense. And then just lastly we see some things on the news on fuel sale and such they are kind of the trial stage for some of the indoor smaller forklift. Is that something that you guys are spending any time on and if so, is there really something that's addressing the size and types of users that are already using electric truck? Any color around that would be great. 
Michael Brogan : Sure. Well, we do all the time as we are always working on the various technologies, batteries, lithium ions, whether it is hybrid, whether it is fuel stuff. We deliver trucks with fuel stuff already to customers. So with customers in certain application for certain ecological reason want fuel cell, we can arrange for them, we have done that. And we continue to work on new technologies in research and development center. And so I think we are prepared to respond. The thing is that some of these technologies are not fully developed yet. But in the meantime we are investing in these. And I think we are ready to response to customer demand. We can say in certain market that there is an interest in more electric trucks, electric powered trucks. And in that case there maybe increasing demand for alternative sources. The challenge with electric truck is that they don't have the same ability to response respond to heavy loads or heavy duty loads as an IC truck, most engine truck. So what we are doing is to enhance the performance of electric truck and have the onboard capacity to survive for shift for instance. So there are some of things we are working on. It's an evolving part of the market but it's not there yet. 
Operator: (Operator Instructions) Your next question comes from the line of Joe Mandileo [ph]. Please proceed.
Unidentified Analyst: Hi, guys. Good morning. First question just regarding the Americas segment. Obviously the product mix was unfavorable in the second quarter and also those additional costs that you talked about. I'm just wondering what you sort of going into the back half of the year, your product mix expectations versus sort of the mix last year. I am just trying to get a better idea on the operating margin expectations given that mix does play a big role. 
Al Rankin : I think we expect the comparative mix in the first half which was negative in the first half compared to the first half of 2013 and substantially so to the basically neutral in the second half in comparison to the previous year. 
Unidentified Analyst: Okay, good enough. And then the fourth quarter of last year, remember there were some sort of one time sort of items and if you exclude that you got to an operating margin in the Americas of over 7% potentially, is that sort of still a possibility that we see some quarters here and there in the near future where we get over 7%. 
Al Rankin : Well, it's certainly our objective and if we get enough volume we should be able to drive some pretty good numbers in that sense. So I think the quarter to look at from that point of view is going to be fourth quarter. We've said that in our release that we think fourth quarter is going to be the better period than the third quarter for the company overall and just in -- we have summer vacations and periods when things are much more slack and so I don't think you are going to see that kind of performance in the third quarter but we do expect improved, moderately improved performance in the third quarter and substantially improved in the fourth quarter.
Unidentified Analyst: Okay and then in terms of European segment. So it seems like in the release and in your commentary today, seems like you definitely stress that operating profit should be stronger in Americas versus Europe. In the second half of last year specifically even in the third quarter which brought it down so low, Europe saw pretty historically sort of low margins, so expecting to hear maybe that we would see a better year-over-year comp in terms of the European part of the business. Anything going on there that's going to sort of offset that. 
Al Rankin : As we suggested in the news release the big improvement really, substantial improvement in the Americas, Europe is going to be moderate improvement. 
Unidentified Analyst: Okay. So looking at that third quarter of last year the 1.3% up margin that should be comparable in this current quarter? 
Al Rankin : Well, I think we would hope to see some improved performance in the third quarter but European vacations are a little bit more brutal in terms of their impact than American vacations. And so Europe will never as area of the world to do business center unlikely to ever have good third quarter for any factoring business. 
Unidentified Analyst: Right, okay. Another thing I wanted to touch on was sort of your strategy of weeding out inefficient distributors and sort of adding on new distributors, so net-net just wondering on your sort of total distribution, how that's going and are you adding on new distribution, just any sort of any commentary on that. 
Al Rankin : Yes, I would like to add Colin, why don't you take a crack at that and give him sense of your feel for how are we doing and strengthening our distribution. 
Colin Wilson : I mean it is a two point of talk. I mean we want all of our dealers to improve so we have what we call an excellence program in all of our major markets. So we are working to improve the quality of dealers. Some of our dealers are acquiring competitive status and absorb them into their businesses which obviously a good news from our perspective because they convert our business over to our brand. Our biggest movement from a distribution change perspective is happening in Europe. A lot of this is to do with the separate we had with Zaplin company last year, so we have been very successful putting in place that work of motivated dealers and we got so far this year, we are in double digits in terms of the numbers of additional dealers that we've added in the European data.
Michael Brogan : Joe, it's an ongoing process but I think we are making good progress. I think I would also emphasis that we have significant programs to work with our existing dealers to make them more excellent than they are. So it's two point programs with our dealers. 
Colin Wilson : The other thing I should have mention this. We are converting dealers to be all main line dealers from competition. So not only our dealers buying dealers and absorb them into our footprint, we've also some of the -- the add-ins of dealers into our direct distribution network are also coming from a number of different competitors. 
Unidentified Analyst: All right, and then two last questions. One, just you mentioned the parts business in your press release at few different time. Wondering how that's progressing and if there is any sort of initiatives to try to expand that part of the business and then also secondly, the Asia-Pac part of the business, are we ever going to expect that to be sort of anywhere as more profitable than it sort of is today or is that sort of tough environment and just nature abused. 
Al Rankin : Well, it's just a much smaller business from our point of view. But I would add that it is a complicated story because we account in a -- we don't include the Japanese -- although we do include the profitability of the business in our Asia-Pacific number, so I don't see major change in the near term in this area but as one where we want to continue to serve incrementally build the business and I think that's the way that I would answer that question. 
Unidentified Analyst: Okay and then the first question I had was the parts business. And any -- 
Al Rankin : You use the words build, I don't think I had really emphasized build as the key in my mind. What I would say is it that parts business is continuing to strengthen in our moderate sort of way around the world. And we consider that a good sign and this recovery are continuing. And that we are making progress and having increased volume. We are also to the extent we get more population out there. We get more volume but there is lag on that. So it doesn't happen really quickly. But we are building a position where we think we are going to have more parts business over time as a result of getting more trucks out in the field. But in terms of a near term profitability impact I think what I would emphasize is that truck should be utilized more and as a result greater demand for parts. Anybody wants to add to that? 
Colin Wilson : No. Some of the territory key criteria of population and capacity utilization and both -- 
Operator: There is no further audio question at this time. 
Al Rankin : Okay. Well, we thank you all very much. Christie? 
Christina Kmetko:  Yes. Thank you for joining us today. We appreciate the interest. And if you do have additional questions, please call me at the number provided earlier which is 440-229-5168. Have a great day. 